Operator: Welcome to Verona Pharma plc's First Quarter 2025 Financial Results and Operating Highlights Conference Call. At this time, all participants are in a listen-only mode. I would now like to turn the call over to Victoria Stewart, Senior Director, Investor Relations and Communications. Please go ahead.
Victoria Stewart: Thank you. Earlier this morning, Verona Pharma plc issued a press release announcing its financial results for the three months ended March 2025. A copy can be found in the Investor Relations tab on the corporate website, www.veronapharma.com. Before we begin, I would like to remind you that during today's call, statements about the company's future expectations, plans, and prospects are forward-looking statements. These forward-looking statements are based on management's current expectations. These statements are neither promises nor guarantees and involve known and unknown risks, uncertainties, and other important factors that may cause our actual results, performance, or achievements to be materially different from our expectations expressed or implied by the forward-looking statements. Any such forward-looking statements represent management's estimates as of the date of this conference call. While the company may elect to update such forward-looking statements at some point in the future, it disclaims any obligation to do so, even if subsequent events cause its views to change. As a reminder, this call is being recorded and will remain available for ninety days. I would now like to turn the call over to Dr. David Zaccardelli, Chief Executive Officer.
David Zaccardelli: Thank you, and welcome, everyone, to today's call. With me today are Mark Hahn, our Chief Financial Officer, Dr. Kathy Rickard, our Chief Medical Officer, Chris Martin, our Chief Commercial Officer, and Dr. Tara Rheault, our Chief Development Officer. The first quarter of 2025 was phenomenal for Verona Pharma plc, as we continue to drive the highly successful US launch of O2VERE for the maintenance treatment of COPD as well as advance our clinical development programs and global regulatory strategy. I am incredibly pleased to report for the first time Verona's quarterly revenue exceeded our quarterly operating expenses excluding noncash charges. First, let's review the ongoing launch of O2VERE which continues to accelerate quarter over quarter. The remarkable uptake of O2VERE, which is the first inhaled product with a novel mechanism of action to treat COPD in more than twenty years, underscores the unmet need of patients with COPD. Its rapid adoption is grounded in O2VERE's broad indication for the maintenance treatment of COPD and its compelling benefit-to-risk profile. In the first quarter of 2025, which is only the second full quarter of commercial availability, we almost doubled sales of O2VERE compared to the fourth quarter of 2024, recording $71.3 million in net product sales with continued month-over-month growth. The launch is demonstrating success across every measure. Prescriptions increased to approximately 25,000 filled during the first quarter. New patient starts grew over 25% compared to Q4 2024, and refills represented 60% of all expenses during the first quarter. Total prescribers grew about 50% relative to Q4, to approximately 5,300, of which 60% are Verona's tier one HCPs. Prescriber depth is also increasing, with over 425 HCPs prescribing O2VERE to 20 patients or more. This dramatic early adoption reinforces our belief that O2VERE is the most successful COPD launch and is tracking to become what we consider a blockbuster product. HCPs continue to prescribe O2VERE to a wide spectrum of their COPD patients, including patients on background single, dual, and approximately fifty percent on triple therapy. Its broad application across diverse patient types highlights our confidence that O2VERE's novel bronchodilator and nonsteroidal anti-inflammatory activity has the potential to redefine the standard of care in COPD treatment. We continue to receive meaningful and extremely encouraging feedback from patients and HCPs regarding the impact of O2VERE, which is reflected in our growing refill and persistency data. With our launch momentum, we are planning to expand our field sales team to around 30 representatives to about a 20 total in the third quarter. We believe this expanded field presence will enable us to further support accelerating the launch. As part of our ongoing strategic work to solidify the long-term success of O2VERE, a new Orange Book listed patent has been granted with an expiration date in 2044, giving us a total of four Orange Book listed patents. In parallel with our successful launch of O2VERE, we continue to advance our pipeline with two phase two clinical programs. We plan to initiate a dose-ranging phase 2b trial in the second half of this year evaluating a fixed-dose combination of ensifentrine with glycopyrrolate compared to the individual components. In addition, enrollment is ongoing in our phase two clinical trial of nebulized ensifentrine in non-CF bronchiectasis. This study will assess the effect of ensifentrine three milligrams twice daily on the rate and risk of pulmonary exacerbations, symptoms, and quality of life. Turning to our global strategy, in February, Nuance Pharma, our development partner for ensifentrine in Greater China, announced O2VERE was approved in Macau for the maintenance treatment of COPD in adults. This is the first regulatory approval of O2VERE outside the US. In addition, Nuance Pharma is expected to report results from its pivotal phase three trial evaluating ensifentrine for the maintenance treatment of COPD in China in the second quarter. Finally, we continue to advance regulatory activities for potential marketing authorization application submissions for O2VERE for the maintenance treatment of COPD in the European Union and in the UK. We look forward to keeping you updated on this progress. I will now turn the call over to Mark to review our financial results for the quarter.
Mark Hahn: Good morning. Our full financial results can be found in the press release issued this morning with additional details in the Form 10-Q also filed today. I will walk through the financial results for the first quarter of 2025 and review our recent strategic financing. As David described, in the first quarter, we recorded $71.3 million in O2VERE net sales. With the achievement of a $5 million clinical milestone from Nuance Pharma, total net revenue for the first quarter was $76.3 million, and in line with prior quarters, our specialty pharmacy partners continue to maintain inventory at their contracted levels of two to three weeks. Cost of O2VERE sales was $3.4 million for the quarter ended 03/31/2025, in line with the level of net sales of O2VERE. Research and development expenses were $14.1 million for the first quarter, reflecting increases in share-based compensation and clinical trial and development costs related to our two Phase II studies. Selling, general, and administrative expenses were $69.1 million in the first quarter, reflecting increases in share-based compensation and the hiring of our field-based sales team, marketing, and other commercialization expenses related to the launch of O2VERE. In total, our operating expenses for the first quarter were $86.6 million, resulting in an operating loss of $10.3 million and a net loss after tax of $16.3 million for the period. Excluding the $36.8 million in share-based compensation recorded in Q1, on an adjusted basis, we had an adjusted net income for the quarter of $20.5 million. You can find the GAAP to non-GAAP reconciliation for adjusted net income on the last page of today's press release. Finally, our balance sheet remains strong, with $401.4 million in cash and equivalents as of 03/31/2025 compared to $399.8 million as of 12/31/2024. In addition, in March of this year, we amended our strategic financing arrangement with Oaktree and OMERS, repurchasing the previously existing $100 million obligation under the RIPSA and increasing the existing debt facility to $450 million on more favorable terms. With this amendment, we have increased our financial flexibility, reduced the cost of capital, and simplified the balance sheet, leaving us in a strong financial position. As a result of this amendment, at 03/31/2025, the company had $250 million outstanding under the Oaktree and OMERS facility and $200 million available in potential future draws. With our cash and equivalents, and up to $200 million of additional potential draws under the debt facility, we feel very confident in our ability to fund the ongoing US launch of O2VERE as well as our development programs. Given the success of the O2VERE launch, it is our intention to use future draws on the debt facility primarily to support the in-license or acquisition of products as needed. With that, I will now turn the call back over to the operator for the Q&A.
Operator: Thank you. We will now begin the question and answer session. We will take our first question from Andrew Tsai at Jefferies.
Andrew Tsai: Hey, good morning. Congrats on another great quarter. Thanks for taking my questions. I have two this morning. So first is, as we exit Q1 and enter Q2, can you talk about the trends that you are seeing? Can you share any color or characterize how healthy these metrics are looking in April so far? And how might they look in May and June? Thanks.
David Zaccardelli: Good morning, Andrew. Thanks for the question. I think that first, I want to just sort of level set that, make sure that we are updating on Q1 and not providing projections of Q2 and beyond. With that said, as we have indicated previously, the launch is going extremely well. As we talked about this morning, the adoption is very high. We are expanding on every metric, including overall prescriptions, new prescribers, new patients, refills, and very encouraged by persistency. So there is every expectation that the launch, while as a reminder, is so early, and at the same time has such great traction, we believe that, of course, that continues as it should.
Andrew Tsai: Right. And then as it relates to my second part, which is a bigger picture, you know, Q1, my understanding saw some seasonality of the typical industry phenomenon, which based on my understanding affected the pace of uptake, not necessarily gross to net, and so that should not play out going forward this year, and I think refills will continue on as well. So I guess the second part of my question is do you think sales could inflect even faster in Q2, Q3, Q4? Just trying to envision or gauge how you are envisioning the sales curve to look whether it's more parabolic or linear from here. Thank you.
David Zaccardelli: Yeah. I think that, again, early on, but extremely encouraged. As you know how the launch curve will start to take shape chronically as a refill business as more and more patients come on and persistency occurs over the years. So, you know, we are very encouraged by the new patient adds, which builds the foundation. That will be a continued focus, of course, for us. When you have the expanding prescriber base, as we talked about over 5,300 prescribers, that's a tremendous base of additional prescriptions, additional new patients. And as I mentioned, we are very encouraged by the growth in the refill rates and the persistency overall. So you know, shape of the curve remains, I would say that we are extremely encouraged and confident on the growth trajectory. And in many ways, as you know, there are millions of patients who remain symptomatic on current standard of care. And so, while the growth is phenomenal, there is a lot to go, and we barely just started.
Andrew Tsai: Great. Thank you again, and congrats.
David Zaccardelli: Same.
Operator: We will go next to Yasmeen Rahimi at Piper Sandler.
Yasmeen Rahimi: Good morning, team, and congrats for an outstanding quarter. I guess kind of like going along with Andrew's question, that he started off as, within that theme, I think, I mean, it's pretty remarkable. You've doubled from Q4 to Q1. There's a big TAM. This is a really safe and effective drug. I guess just to be, like, why couldn't you continue seeing such a rapid growth? Like, what I'm trying to figure out is what is the difference between Q2 and Q1? And how we know Q1 had the seasonality aspect. Like, I guess what I'm trying to figure out is before you put up this number, the consensus, I think the run rate for this year was around $300 to $350 million. That was the range. But now with this $71 million on hand, you would basically project this to be substantially higher. So if you could just kind of help us understand sort of with this really remarkable Q1, what the run rate could look like that would be really helpful. And then if you could comment on what the gross to net is now and how it will change going into the year, that would be helpful, and I'll jump back into the queue.
David Zaccardelli: Great. Thanks, Yasmeen. Good morning. So maybe we'll start in reverse. On gross to net and I know Mark can provide some guidance on that.
Mark Hahn: Yep. Good morning. Yeah. So one of the things that we've talked about over time is that we saw the opportunity for the gross to net to improve over time. It has. It's continued to decrease. In Q1 I'd characterize it as well below 20%. As we exited the quarter. And so I think in addition to your the growth that we expect to 2025, I think some of the concepts that you mentioned are correct. You know, clearly, saw as the whole industry sees a level of blunting that happens, early on in Q1, which, as you can see, prescriptions have been written through that, albeit, we noticed it as well as I'm sure everyone did. As deductibles are reset, co-pays are reset, things like that. But with that said, you know, we see tremendous growth as we've seen already. I think we continue to focus on the important aspects as I mentioned already. That is growing the prescriber base, growing new prescriptions, being attentive, of course, to the refill dynamics that occur. And as you look at it, it becomes very much a stacking phenomenon, as the weeks and months and quarters unfold. And all of that, of course, is continuing to build on the base. We while growing substantially over just two full quarters, still plenty of room to go, in having about and a huge opportunity in new patients. So yeah, I think the growth is substantial. We expect it to be continue to be substantial. And we're just such early on in the process. There's plenty of room to go.
Yasmeen Rahimi: Thank you. Congrats again.
David Zaccardelli: Thanks.
Operator: Our next question comes from Olivia Breyer at Cantor Fitzgerald.
Olivia Breyer: Hi, good morning. Congrats on the quarter and thank you guys for the questions. Maybe just following up on gross to net quickly, it's obviously trending much better than that 25% discount that you guys have previously talked about. So maybe just any thoughts on where you think that could ultimately shake out. And then on hitting operating cash flow positive, is that something you think you can maintain going forward? Just any thoughts on the kind of earnings power that you could start to have especially as we think about 2026 and beyond? Thank you, guys.
David Zaccardelli: Sure. Sure. Good morning, Olivia. So first, on the gross to net, I think we've talked about this in the past that while we started at launch, we said we thought it could be in the 25% range where we thought it could actually work out to be much lower. And then in Q3, we talked about it being below 25%. Now well below 20%. I think we're getting to a point of stabilizing. There may be a little bit of room for improvement yet. But not a dramatic amount. As far as the cash flow breakeven, to be technical from an accounting and financial reporting perspective as my job is, we were not at cash flow breakeven from operations. Because of the accounts receivable bill. We were, however, at a run rate of revenue that exceeds cash expenses. And yeah, I think as we continue to grow, and execute on sales, I do think that we will be able to continue that pace going forward. And I think we've talked many times about the long-term profitability of the business. I think that as sales continue to grow, the expenses will only grow so much over time. There's a relatively tight Salesforce and a relatively, I'd say, a lean commercial spend against it as well.
Olivia Breyer: Great. Thanks, guys. Congrats on a great quarter.
David Zaccardelli: Thanks. Thank you.
Operator: We'll go next to Tara Bancroft at TD Cowen.
Tara Bancroft: Hi, good morning. Thanks for taking the questions. And congrats on the fantastic quarter. So I was hoping if you could provide any more color on the refill rate for patients who initiated O2VERE treatment six or more months ago. Like, what are the rate of refills per year also that you're expecting at steady state? Basically, any color you could provide on how you expect this to evolve would be really helpful. Thanks.
David Zaccardelli: Sure. Good morning, Tara. Yeah. Maybe, Chris, you can provide some on what we're seeing in refill rates and persistency.
Chris Martin: Yeah. Thanks, David, and thanks, Tara. The thing that as David mentioned, we've been very encouraged by the way the persistency and refill rates have been progressing since launch. Keep in mind, as David talked about, we're adding more new patients every single month. So the number of patients that could be eligible for five, six, refills is smaller than the patients that we that ends up patients that we have today. But when we look historically at that right now, we are very encouraged at how those refill and persistency rates look. I think we talked about in a previous call that we were starting to see patients have a significant number of refills already in their past on treatment. And we felt like there was a potential for an upside on the overall persistency that we saw with patients. Remember, in COPD, we see patients still about six times a month or six times a year. Excuse me. And over time, we felt like there was a potential upside there based on the product and O2VERE's benefits to provide these patients, but also our distribution channel in the way that we provide a white glove service to these patients. I think early on, there's no reason to believe that this upside doesn't still exist. And, again, we're very encouraged by how we're seeing that refill rate, kind of progress over time. Think we need a few more months so that we have more n and a full look back on the totality of a year. But, again, very encouraged by what we see early on in these patients.
Tara Bancroft: Okay. Great. Yeah. Thank you so much. And just briefly, separately, just do you have the option or the interest to repurchase China rights and any kind of description of the size of the China market would be really, really helpful too. Thanks.
David Zaccardelli: Yeah. Thanks for the question. I think that there is that opportunity, although it requires certain conditions to be met, on other types of transactions that we're making. So I think that at this time, that has not part of any plan or thinking, and we continue to have a very strong collaboration with Nuance Pharma as we've talked about on the call this morning.
Tara Bancroft: Okay. Thank you so much.
David Zaccardelli: Thanks.
Operator: We'll move next to Tiago Fauth at Wells Fargo.
Tiago Fauth: Great. Let me add my congrats, and thanks for taking the questions. Just on the persistent question, when we do our channel checks, the discontinuation rate seems to be very low, so it's fairly anecdotal. But I'm curious if you have any insights from the field in terms of there are discontinuations, what might be driving that that doesn't feel like it's safety, tolerability, or anything like that. It feels a little bit more random at least when we do those channel checks. So any color there would be helpful. And my second question is more related to long-term competition of biologics. Been getting a lot of inbounds on how that could potentially impact the here, especially if you have more upstream mechanisms of action. I'm curious how you guys are seeing the long-term play here. Thank you.
David Zaccardelli: Hi. Good morning, Tiago. Thanks for those questions. I'll just start with a bit of color on discontinuations. I think it's a little early to speak with clarity around discontinuation as you've mentioned, you know, in your calls with physicians. It can be sporadic and for different reasons. I think also, what constitutes a discontinuation is a bit unclear because as we've talked about, patients can be somewhat sporadic in timing on when they refill prescriptions. And so they may, you know, take longer to refill, and yet it's not technically a discontinuation. It's more of how they're going to use O2VERE chronically. So I think, again, along with refills, it takes a bit more time to provide some clarity around true discontinuation. As we talk about in the past and as you alluded to just now, you know, tolerability is very favorable with O2VERE. That comes, of course, from the clinical trial data and is our general experience in the commercial setting as well. With regard to biologics, you know, I think it's incredibly great for the field for patients with COPD to have different mechanisms approaching or to different mechanisms for inflammation. So I think all of that's great. We don't view it as competitive in any way with O2VERE. In many ways, it can be very complementary. I think approaching inflammation from multiple mechanisms will be a solid approach for the treatment of COPD. And also keep in mind that O2VERE has bronchodilator and acute bronchodilator effects as part of its pharmacology and its clinical profile, which the biologics are more focused on inflammation and not bronchodilation. And I still think patients with COPD will require chronic bronchodilation to treat them along with different approaches on anti-inflammation. So I think it's great for the field. I think we're looking forward to it, and I don't think there's any pharmacologic reason that O2VERE could not be used in conjunction with biologics if physicians thought that was appropriate for a patient.
Tiago Fauth: Fair enough. Alright. Thank you so much.
Operator: We'll go next to Tom Shrader at BTIG.
Tom Shrader: Good morning, and congratulations for essentially hitting our Q2 number. I have a I'm doing some reading on bronchiectasis. And as far as I understand it, a fair number of COPD patients also have that diagnosis. Do you know how you do well in those patients, or were they excluded? And then a real quick one for either Mark or Chris. Are you guys completely out outside of the Medicare Part D redesign, or is that something you also have to think about? Thanks.
David Zaccardelli: Great. Good morning, Tom. So maybe the last question first. I don't know, Chris, you want to talk about being outside Part D. And then I think, Tara and Kathy can comment on bronchiectasis.
Chris Martin: Yeah. Tom, thanks for the question. Appreciate the context on hitting the Q2 consensus number too. I think for Medicare Part D redesign, I think it's an interesting you know, we are primarily through a medical benefit reimbursement. So 80% of our reimbursement is through medical benefit, either through traditional Part B or through Medicare Advantage. We can see Medicare Part B reimbursement in a long-term care facility or a skilled nursing home facility. But that is such a small percentage that I would say we're not affected by any of this redesign that is going on with purely Med D products that exist today.
David Zaccardelli: Great. And then touching on the bronchiectasis question as well. You know, we really had few patients with confirmed bronchiectasis by a CT scan in the enhanced program. You know, certainly, the reason we're doing that program is because we think the mechanisms that help improve COPD in patients with COPD are also applicable to patients with bronchiectasis, and it's the inflammatory mechanism targeting neutrophilic inflammation. And also the effects on cough and sputum that we saw in COPD patients. Stemming from, you know, potentially CFTR activation, which we've seen in non-clinical studies, helping those patients to clear their cough and sputum, which are the two main symptoms in bronchiectasis.
Tom Shrader: Just to follow-up, what is the overlap? Is it very small?
Kathy Rickard: From the medical perspective, patients with COPD could have isolated areas of bronchiectasis. Certainly, in that as Tara talked about, their sputum, cough, things like that are similar to patients who have bronchiectasis by itself. But patients with COPD have a much broader spectrum because they have bronchitis or so that it's affecting their bronchial tubes, it also affects their airways. They have emphysema. And then they'll have some localized areas of bronchiectasis. Patients with bronchiectasis primarily have just effects on their bronchial airways, the larger airways. This results from usually past infections and things like that in the past. Versus patients with COPD who have underlying disease primarily related to cigarette smoke and other toxic exposures. So the bronchiectasis patient will have some things in common with COPD, but not the overall the whole overall look of the disease, so to speak. And as Tara said, because of our effects on cough and sputum and so forth, we would expect it to work on those patients with bronchiectasis alone.
Tara Rheault: Sure. And the overlap, if you look at the diagnosed bronchiectasis population, you might find around twenty percent of those patients also have a COPD diagnosis. I think going the other direction and looking at the COPD population, I think what we're understanding is as the understanding of bronchiectasis progresses, is that the more they look for it in COPD patients, the more they find it.
Tom Shrader: Great. Thank you.
Operator: We'll move next to Raghuram Selvaraju at H. C. Wainwright.
Raghuram Selvaraju: Thanks very much for taking my questions and congrats again on this quarter. Really impressive performance. I was wondering if you could maybe give us some more information and insight on the competitive landscape and what you are hearing from physicians as we approach potential readouts from biologics that are kind of in the same vein as dupilumab. In particular, drugs like itapecumab or astegolemab. And in particular, you know, this kind of follows on from one of I think, the earlier questions about competition from biologics. If there are any physician opinions indicating that prescribers might look at the lower frequency of administration for biologics as a potential advantage or reason to put patients on a biologic versus ensifentrine. And if you are not seeing evidence of that, you know, maybe give us a sense of why, and in particular, if this might be traced back to not only ensifentrine's unique mechanism of action but also the safety advantages that it would likely continue to enjoy over any future biologic competitors. Thank you.
David Zaccardelli: Hi. Good morning. Thanks for the question. I may provide a general comment, and then, Chris can talk about what we're seeing in the field. I think from a pharmacology basis, we don't see it as competitive in any particular way. I think the use case for a biologic again, assuming that we'll have to see what the results actually say, is different than for O2VERE. O2VERE is a PDE3, PDE4 inhibitor with both bronchodilation and nonsteroidal anti-inflammatory has a unique profile. As we talked about on the call, a very compelling benefit-to-risk profile. And other drugs will have to stand on their own with regard to, as I look at it, patients who are symptomatic and need additional treatment, a lot of that is around treating their dyspnea. Which typically requires bronchodilation. That is a use case for O2VERE. In addition to supporting the treatment with anti-inflammatory effects through the PDE3, PDE4 pathway. So I think that all of the treatments coming along can be complementary to O2VERE. As I mentioned, treating inflammation for multiple pharmacologic pathways seems to make some sense broadly. And I think the use case for them is going to be different. And so we're very confident that O2VERE has a place in the treatment paradigm. As I've talked about, it has the potential to redefine exactly how patients are treated for their symptoms. I don't know, Chris, you want to add anything to that with what we're seeing in the field from physicians.
Chris Martin: Yeah. David, I think you covered it really well. I would just say, anecdotally, when we hear our field reps interact with physicians, they express very similar things to what David talks about, which is that O2VERE's profile is a broad-use COPD treatment. Because these patients, as David described, come in dyspnea, they need that bronchodilation effect, and O2VERE is always going to provide bronchodilation and nonsteroidal anti-inflammatory effects as a base for these patients, and they look at the biologics as an add-on or something that they can hit inflammation in another way at another point in time for these patients. So I think we're very pleased and encouraged at how physicians view O2VERE as a broad-based COPD treatment for all their patients that are persistently symptomatic. So I think it goes back to what David talked about, which is the profile of O2VERE.
Raghuram Selvaraju: That's very helpful. Just one other quick one. You mentioned earlier in the call about the possibility of turning attention towards in-licensing or acquiring additional potential product or product opportunities. Can you elaborate on that a little bit just from a broad strategic perspective? And if you are looking specifically I would imagine, at pulmonology-focused products, and how broadly you expect to cast your net and if you are going to specifically only concentrate on those opportunities that are likely to be directly complementary to O2VERE. Thank you.
David Zaccardelli: Yeah. No. That's a good question. I think that, yes, we as we continue to have great success with the launch of O2VERE and as we expand our global footprint, we want to, again, grow the business and we are a development-based commercial company. So we want to look at assets that would leverage our capabilities, of course, in development, regulatory, and commercial, primarily in the respiratory space, of course. And I think there are opportunities, and mid and later stage, products that currently are out there that exist in that space. So we have an eye out for that. Clearly, we want to continue to have success with the US launch and continue to expand our global reach with O2VERE. But as we build the company, acquiring assets will be the core of that.
Raghuram Selvaraju: Thank you very much.
Operator: We'll move next to Joon Lee at Truist Securities.
Joon Lee: Good morning, and congrats on the really strong quarter. This is Asim on for Joon. Thanks for taking the questions. Just a couple from us. So for the tier one doctors who haven't yet prescribed O2VERE, what are you hearing from them? And then on the patent update, you know, you had several patents that were potentially eligible for an Orange Book listing. Can you remind us which one was granted for June 2044? Thank you.
David Zaccardelli: Great. No. Thanks for the question. I guess I'll start with the latter one and then turn it over to Chris on talking about our Tier one HCPs. Yes. We're very pleased that we have an additional patent listed in the Orange Book with a 2044 expiration. And so that patent centers around what can be just generically called the purity aspects of ensifentrine and what I would say is sort of a fingerprint of what ensifentrine looks like, from a chemical basis. So a lot of that has to do with the novel aspects of ensifentrine, both purity and impurities that exist within its fingerprint. And I don't know if Chris, you want to talk about tier one?
Chris Martin: Yeah. As far as tier one, David, you know, when we look at our tier one, then we see approximately 60% of them writing within nominally the first two full quarters of launch. It's something that I think is an impressive start for the brand. Remember, these tier one physicians are seeing upwards of more than a hundred and fifty COPD patients a month. So the opportunity within this group is tremendous. You know, what we've done over the course of the last few months is also try to within physicians that have written to date and those that haven't, is there a difference in sentiment? And I think the thing that we've seen in our market research is that regardless of if a doctor has written O2VERE today or if they all see the utility of O2VERE in the future and eventually get the same share levels of or capture rate of patients within their practice. You know, sometimes physicians are a little bit slower in adopting, and what that's usually contributed to needing to see it in the guidelines. Having a peer discuss it with them, and those are all things that, if you think about it, we got added to the gold guidelines at the November. We continued to do speaker programs. So I would suspect as we through this year, we'll continue to increase the number of tier one prescribers that we have. And I think what is very encouraging to me is that regardless of what they've done today, is the outcome in the future between the writers and non-writers today is very similar because the benefit and the profile of O2VERE is so compelling for them by providing bronchodilation and nonsteroidal anti-inflammatory effects for them.
Joon Lee: Thank you.
Operator: We'll go next to Sheila Hernandez at Van Lanschot Kempen.
Sheila Hernandez: Yes. Thank you for taking my questions. Congrats on the quarter. As you're continuing to progress your regulatory activities for potential authorization application submissions in the EU and UK, could you share your latest thinking on strategy and partnering in these regions? Thank you.
David Zaccardelli: Yes. Good morning. Thanks for the question. We continue to engage both the EMA and the MHRA in the sort of very structured approach to discussing the application. That's ongoing as we speak, and it's as you know, it's a very calendared approach for both of them. I would say that, sometime around midyear, we would be better informed as to the responses and thoughts on our application. And so I think, we look forward to updating you, you know, as we get into the next quarter and beyond in 2025, to bring more clarity as to what the exact plan in Europe will be. Our strategy around partnering in Europe remains the same. And, I guess, you would imagine that having regulatory clarity is also part of that discussion with partners. All of that kind of comes together as we progress through 2025.
Sheila Hernandez: Okay. That's clear. Thank you.
Operator: And we'll go next to Boobalan Pachaiyappan at Roth Capital.
Boobalan Pachaiyappan: Hi. Good morning, team, and congrats on the progress. So I have a couple of questions. So firstly, with respect to price stability, so with all the news about tariffs and inflation taking the center stage, so I wonder if price stability will be maintained for O2VERE in 2025. Any thoughts on that? That's the first question. And the second, with respect to your phase two, we fixed dose study. Was wondering if you could provide some high-level thoughts, you know, what to expect in the start that you're planning to start, second half of this year. And then in that regard, I wonder if you are planning to measure pre-dose trough FEV1 because, my understanding is that this is one of the important efficacy markers, the FDA is looking for even though the zero to twelve-hour FEV1 is also a good one. Thank you.
David Zaccardelli: Great. Good morning, Boobalan. So with regards to price stability, you know, as you can imagine, things are somewhat fluid and ever-changing. But with that said, we see the price of O2VERE as stable through 2025. There's nothing that we have in concrete form that would think would change our thinking on that. And I'll turn it over to Tara to talk about the Phase 2b study and our endpoints and what we're measuring.
Tara Rheault: Sure. So the team has really done a great job progressing the fixed-dose combination program, and we as we stated in the release, are planning to start our kind of pivotal phase 2b study later this year on the fixed-dose combination. In terms of endpoints there, you know, I think we'll take the same approach that we took with O2VERE, you know, and ensifentrine is a twice-daily drug with a twelve-hour duration of action. A twice-daily drug is operationally difficult to get a clear picture of a trough a pre-dose trough FEV1. So while we'll measure it, I don't expect that will be necessarily our primary endpoint. We'll continue to look at the lung function effect over the dosing interval.
Boobalan Pachaiyappan: Alright. Thank you very much.
Operator: And that concludes our Q&A session. I will now turn the conference back over to David Zaccardelli for closing remarks.
David Zaccardelli: Great. Thank you very much. And thank you everyone for joining us today on the call. I just wanted to reiterate how pleased we are with our progress, and how O2VERE is impacting patients' lives. And we very much look forward to keeping you updated through 2025. And have a great day.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.